Operator: Ladies and gentlemen, thank you for standing by. Welcome to Copa Holdings' Third Quarter Earnings Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question and answer session. At that time, if you have a question, you will have to press star one one on your telephone. As a reminder, this call is being webcast and recorded on November 21, 2024. Now, I will turn the conference call over to Daniel Tapia, Director of Investor Relations. Sir, you may begin.
Daniel Tapia: Thank you, Jonathan. And welcome, everyone, to our third quarter earnings call. Joining us today are Pedro Heilbron, CEO of Copa Holdings, and Jose Montero, our CFO. First, Pedro will start by going over our third quarter highlights, followed by Jose, who will discuss our financial results. Immediately after, we will open the call for questions from analysts. Copa Holdings' financial reports have been prepared in accordance with international financial reporting standards. In today's call, we will discuss non-IFRS financial measures. Reconciliation of the non-IFRS to IFRS financial measures can be found in our earnings release, which has been posted on the company's website, copaair.com. Our discussion today will also contain forward-looking statements, not limited to historical facts, that reflect the company's current beliefs, expectations, and/or intentions regarding future events and results. These forward-looking statements involve risks and uncertainties that could cause actual results to differ materially and are based on assumptions subject to change. Many of these are discussed in our annual report filed with the SEC. Now, I would like to turn the call over to our CEO, Pedro Heilbron.
Pedro Heilbron: Thank you, Daniel. Good morning to all, and thanks for participating in our third quarter earnings call. First, I would like to extend my sincere gratitude to all our coworkers for their commitment to the company. Their dedication and hard work have been instrumental in keeping Copa at the forefront of Latin American aviation. To them, as always, my highest regards and admiration. We are pleased to once again report solid financial results for the quarter, delivering a strong and industry-leading operating margin of 20.3%. These financial results are in part driven by our disciplined approach to executing our business strategy, including our permanent focus on cost efficiencies, which allow us to continue delivering industry-leading operating margins even with the softer yield environment we have observed over the past twelve months. Going forward, our focus on our business strategy and commitment to reducing unit cost remain central to achieving strong financial results and are key to further strengthening Copa's competitive position. Among the main highlights for Q3, capacity increased by 9.5% year-over-year. Passenger traffic grew 7.6% compared to the same period in 2023. Unit cost excluding fuel, or CASM ex-fuel, came in at $0.057, a 1.6% decrease compared to Q3 2023, mainly driven by lower sales and distribution costs. Passenger yield came in at 12.2 cents, 8.7% lower year-over-year, mostly due to the last-minute suspension of flights between Panama and Venezuela at the end of July, weaker currencies in certain countries in Latin America, and additional industry capacity in the region. Load factor came in at 86.2%, 1.6 percentage points lower year-over-year. As a result, unit revenues, or RASM, came in at $0.11, a 10.1% decrease compared to Q3 2023. As mentioned before, we delivered an operating margin of 20.3%. Excluding the impact of the Panama-Venezuela flight suspensions, we estimate that we would have reported an operating margin of 21.2% for the quarter. On the operational front, Copa Airlines delivered an on-time performance of 87.3% and a completion factor of 99.6% for the quarter, once again positioning ourselves among the best in the industry. Regarding our fleet plan, due to delays in Boeing's delivery schedule, the arrival of our last two aircraft for the year was postponed by a few months. Nonetheless, we still expect to receive two 737 MAX 8 before year-end, one at the end of this month and one in December. These two deliveries will bring our fleet to a total of 112 aircraft by the end of the year. Regarding 2025 deliveries, Boeing has updated its delivery schedule to account for the recent delays, and we now plan to receive eleven Boeing 737 MAX 8s next year, to end the year with a fleet of 123 aircraft. This delivery schedule has production ramp-up assumptions that will need to materialize, so actual aircraft deliveries could change. As you saw in our earnings release issued yesterday, we issued preliminary guidance for 2025 in which we expect to grow our capacity within a range of 7% to 9%. Jose will provide more details regarding our preliminary guidance for 2025. To summarize, we again delivered industry-leading financial results for the third quarter. We continue to deliver on our cost execution, which remains key to the company's strategy going forward. We expect to grow capacity by high single digits in 2025 and plan to continue strengthening our hub of the Americas in Panama. As always, our team continues to deliver world-class operational results while providing the consistent and reliable travel experience our passengers expect from us. Finally, we firmly believe that our business model remains as robust and relevant as ever and that our hub of the Americas in Panama is the best connecting hub in Latin America, making us the best-positioned airline in our region to consistently deliver industry-leading results. Now, I will turn it over to Jose, who will go over our financial results in more detail.
Jose Montero: Thank you, Pedro. Good morning, everyone. Thanks for being with us today. I would like to join Pedro in acknowledging our great team for all their efforts to deliver a world-class service to our passengers. I will start by going over our third quarter results. We reported a net profit for the quarter of $146 million, or $3.50 per share. We reported a quarterly operating profit of $173.7 million and an operating margin of 20.3%. Capacity came in at 7.8 billion available seat miles, or 9.5% higher than in Q3 2023. Load factor came in at 86.2% for the quarter, a 1.6 percentage point decrease compared to the same period in 2023, and our passenger yields decreased by 8.7% to 12.2 cents. As a result, unit revenues came in at 11 cents, or 10.1% lower than in the third quarter of 2023, mainly driven by a lower fuel price. Unit cost for CASM decreased to 8.7 cents, or 6.2% lower year-over-year. CASM, excluding fuel, came in at 5.7 cents, a 1.6% decrease versus Q3 2023, mainly driven by lower sales and distribution costs as a result of higher penetration of both the direct sales and lower-cost NDC trial agency channels, as well as our continued focus on maintaining the rest of our costs low. I am going to spend some time now discussing our balance sheet and liquidity. At the end of the third quarter, we had assets of close to $5.5 billion. As to cash and short- and long-term investments, we ended the quarter with over $1.3 billion, which represents 36% of our last twelve months' revenues. In terms of debt, we ended the quarter with $1.86 billion in debt and lease liabilities, and came in with an adjusted net debt to EBITDA ratio of 0.6 times. I am pleased to report that our average cost of debt, which continues to be comprised solely of aircraft-related debt, is currently in the range of 3.4%, with around 65% of our debt being fixed. Turning now to our fleet. During the quarter, we received one Boeing 737 MAX 8 aircraft, ending the third quarter with a total fleet of 110 aircraft, comprised of 68 737-800s, 32 737 MAX 9s, nine 737-700s, and one 737 MAX 8. These figures include one 737-800 freighter and the nine 737-800s operated by Wingo. With regards to the return of value to our shareholders, I am pleased to announce that the company will make its third dividend payment of the year of $1.61 per share on December 13 to all shareholders of record as of December 2. As to our outlook, we can provide the following guidance update for the full year 2024. We expect to increase our capacity in ASMs by approximately 9% year-over-year, and we expect to deliver an operating margin within the range of 21% to 22%. We are basing our outlook on the following assumptions: load factor of approximately 86%, unit earnings within the range of 11.4 cents, CASM ex-fuel to be in the range of 5.8 cents, and we are expecting an oil and fuel price of $2.67 per gallon. In anticipation of 2025, based on the current and preliminary expectations of aircraft deliveries, we are projecting a year-over-year ASM growth of between 7% and 9%. Additionally, we are projecting CASM ex-fuel at approximately 5.8 cents. You might recall, this is in line with the CASM ex-fuel target we shared with you back in our 2023 Investor Day. So in summary, we delivered great results for the third quarter. We expect to deliver once again leading operating margins for the full year 2024, with low unit costs, which continue to strengthen our solid financial position while providing outstanding return of value to our shareholders. Thank you. And with that, we will open the call to some questions.
Operator: Certainly. And our first question for today comes from the line of Savi Syth from Raymond James. Your question, please.
Savi Syth: Hey, good morning. If I might on the revisions that you had for 2024, I was kind of curious if the unit revenue coming down a little bit there is related to the Venezuela flight suspensions taking longer or if you are seeing any other kind of weakness or softness in the market?
Pedro Heilbron: Yeah. This is Pedro here. So, yes, in Cartagena, it took us a while redeploying those aircraft. We were waiting for a restart date, which has not happened yet. So we kept the planes parked. Plus, it takes a while to start selling a flight and fill it up. So we could not really deploy those aircraft the following day. That has been happening mostly throughout November, some in the December high season. So I would say that is the bigger quarter-over-quarter change.
Jose Montero: Yeah. Well, and in addition to that, Savi, you know, we did highlight the Brazil currency or kind of the Brazil revenues coming in slightly below our expectations. So that is also driving the adjustment that we made.
Savi Syth: Makes sense. And if I might just turn to your 2025 capacity view, recognizing that that is preliminary, I think before you had wanted to grow low double digits and wondering if, you know, does demand still support low double digits? And what is the risk that competitors, you know, backfill that? And obviously, what I am trying to get here is, you know, is supply tight enough where maybe you are changing, you know, higher lower capacity for higher yield here or is there a risk that your competitors go back to that?
Pedro Heilbron: Right. So our ASM guidance is directly related to Boeing deliveries. So that is what is driving that. And as a matter of fact, we are actually staying with two 737-700s, which in our fleet plan three months ago were supposed to leave by 2025. So we are going to stay with those aircraft to make up for delayed Boeing deliveries. So that is driving our capacity. We have demand to grow a little bit faster than that. However, less capacity is always good for yield, so we are comfortable. We are fine with growing between 7% and 9% in a year. I think it is a good balance between keeping demand at strong, healthy levels, demand and supply, of course, and also further strengthening our hub in Panama.
Savi Syth: Got it. Thank you.
Operator: Thank you. And our next question comes from the line of Michael Linenberg from Deutsche Bank. Your question, please.
Michael Linenberg: Oh, hey. Good morning, everyone. I do have a couple here. I guess, for starters, I know one of your competitors in Colombia did indicate that a market was starting to stabilize somewhat, and so I am curious if you can just talk about the competitive situation there. Maybe you are seeing something similar or maybe not.
Pedro Heilbron: Not sure what they meant by that. But we tend to grow with demand, and our potential to capture, you know, the piece of that demand that belongs or corresponds to us. So we are very measured and pragmatic about how we grow and how we strengthen the hub. And that is why one of the reasons, not the only reason why we are able to return strong operating margins and strong financial results over time. I cannot say that of every airline that grows a little bit too fast. I will not mention names. But if that is stabilizing, it is probably good for the market. And it should mean, I do not know, a better balance between demand and supply.
Michael Linenberg: Okay. And then just a follow-up here. You know, I thought it was interesting that it, you know, normally, once in a while, we will see Copa pull out of a market. Right? The market is not working and for a whole bunch of different reasons. You know? It is kind of a one-off. I thought it was interesting that I think, and you can correct me if I am wrong, but it looks like you are actually going to be pulling out of two markets. Maybe you have already pulled out of two Mexican markets. One is Tulum and the other is Santa Lucia, the alternative Mexico City Airport. Is that a Mexican FX macro reason? Is it I know Tulum, everybody rushed into the market at the same time, and maybe that is an oversupply situation. What is behind those, Pedro?
Pedro Heilbron: No. Those are temporarily only. We are pulling out of four markets, actually. The two you mentioned, but also Armenia in Colombia and Santiago in Caballeros in the Dominican Republic. So it is four markets we are pulling out temporarily. We should be back before the end of next year, of 2025. And the reason we are doing that is also tied to aircraft deliveries. So these are four markets that have an alternative airport around the corner. I see. Less than forty minutes or an average forty minutes away we have an alternative airport where we fly with many daily frequencies. These are all in less than daily markets. So given the delays in aircraft deliveries, there are other markets that do not have the luxury of having, like, thirty days forty minutes from Armenia in Mexico, the tour, of course, are, like, thirty or forty minutes apart. So we are going to deploy that capacity to other markets where we have strong demand and not enough aircraft. Well, this other market can be served from a nearby airport, and then we should be back by the end of next year. We get the deliveries we are expecting to get.
Michael Linenberg: So, Pedro, with the fact that you have to pull out of market because you do not have airplanes and you are getting all these delayed deliveries, how should we think about potential compensation, or how does it show up in maybe your CapEx this year and cash flow? And I do not know if Jose answers that because as I see it, you know, not only do you have a special relationship with Boeing, you are Boeing's beachhead in Latin America. The extent that I think the last deal that was signed we had the president of the United States and the president of Colombia with you to sign that deal. So I would think that you would be getting some form of compensation, and it is going to just show up in reduced CapEx. Any color on that? Thanks for taking my questions.
Pedro Heilbron: Thanks, Michael. I will let Jose answer the question. But this particular move that we are talking about, we are doing it to strengthen our bottom line and to better serve our whole network. So there will not be a compensation for those specific actions.
Jose Montero: Yeah. Hey, Mike. And going back to your comment, yeah, we are very happy and proud to have that signing ceremony. It was with the president of the US and the president of Colombia at that moment here in Panama City. But yeah, there is, of course, some contractual relief associated with this situation, but the nature of our contracts with Boeing is confidential. But, you know, yeah, it would flow through CapEx to a lesser amount of CapEx going forward.
Michael Linenberg: Okay. Thanks for taking my questions.
Jose Montero: Thank you, Mike.
Operator: Thank you. And our next question comes from the line of Duane Pfennigwerth from Evercore ISI. Your question, please.
Duane Pfennigwerth: Hey, good morning. Thank you. So just on the guidance, you are going to generate, you know, 21% to 22% EBIT margins this year, which includes the impact of the MAX 9 grounding earlier in the year and then obviously the close-in cuts that you had to make to Venezuela. So can you just remind us what do you think those two items cost you and just remind us of the sizing of those two impacts combined?
Jose Montero: Oh, the Venezuela impact was probably, I would say, half a point, and the impact of the Boeing grounding, you know, I think we disclosed it to be in the order of about $40 million when it occurred. So that is kind of the full-year impact of this. I think if you do the math.
Duane Pfennigwerth: Okay. That is great. And then go ahead. Sorry.
Pedro Heilbron: Yeah. No. Yeah. Sorry, Duane. No. What I am going to add is that there are so many moving parts in our industry that it is not like, you know, that is not simple math. Because I
Duane Pfennigwerth: But, yeah, you have to argue that our 21% to 22% results for 2024 include those two aspects. Yes. Certainly.
Duane Pfennigwerth: Yeah. I mean, it does feel like as we think about next year, there are some periods that have some pretty easy compares, but we will see. A minor question for you on the interest expense. You called out $4 million related to the adjustment of a discount rate for the calculation of leased aircraft that you are going to return. Is that a one-timer here in the fourth quarter, or is that something that will kind of stay in the interest expense on a go-forward basis?
Jose Montero: It is a yearly periodic adjustment that gets performed related to where interest rates lie. It is just a very arcane IFRS requirement where you basically are truing up the return conditions in the balance sheet with the risk-free rate basically that we have. So the liability shows something, the balance sheet shows the true value of it at the moment where the balance sheet was established. So therefore, it is on a, say, lowering interest rate environment that essentially you have to make an adjustment, and in this case, it is a bad guy. Let us say when interest rates come down, there is a higher charge to that. So, I mean, you could argue that it will kind of, from a modeling perspective, will vary depending on where, you know, as interest rates fluctuate, it could fluctuate as well.
Duane Pfennigwerth: Okay. And then maybe just to sneak one last one in, you know, a couple of the US carriers have been able to kind of look a little bit further out beyond the fourth quarter into early 2025. You know, the implied fourth quarter here, is that indicative of trends that you see into early first quarter? And listen, I understand you do not typically comment on two quarters out, but it just feels like the yield environment feels a little bit different in January, February than what we are seeing here in the fourth quarter.
Jose Montero: I think, Duane, you know, again, as you just answered kind of the question in the sense that we do not provide multi-quarter guidance, and we have an initial guidance for the full year 2025. But I think on a, let us say, sequential basis, you could argue that the comps are sort of similar for Q1 versus what is going on in Q4 in terms of the year-over-year comps, let us say.
Duane Pfennigwerth: Okay. Appreciate the thoughts.
Jose Montero: Thank you, Duane.
Operator: Thank you. And our next question comes from the line of Stephen Trent from Citi. Your question, please.
Stephen Trent: Good morning, gentlemen, and thanks very much for taking my questions. The first one, I recall in the second quarter that you guys had made an adjustment to a provision for unredeemed ticket revenue, you know, that had a little bit of a wiggle impact on the margins. And could you refresh my memory if there was any other adjustment this quarter, or will you still have essentially the same policy on that provision as we move forward? Thank you.
Jose Montero: Yeah. The last quarter, we called out a kind of half-cent impact, and the reason why we called it out was because it was a catch-up. We just adjusted the factor that we use for unredeemed during the second quarter, and we decided to be conservative and do it in a way that it captured the entirety of our assumptions or estimates for 2024. So it was kind of like a catch-up that occurred either in Q2, and so there was no other item related to that in Q3.
Stephen Trent: Great. Great. That is helpful.
Jose Montero: It was an accounting entry related to the quarter. Nothing beyond that.
Stephen Trent: No. That is very helpful. I appreciate that, Jose. And just one other quick one. You know, when we think about all of the, I mean, not just you, everybody, the supply chain challenges with the OEMs. You know, could you give us a little bit of your high-level thinking, you know, long-term how you think about optimizing maybe your owned aircraft versus leased aircraft if the supply chain stuff has made you think differently about the long-term planning? Thanks.
Pedro Heilbron: Yeah. That is a good question here, Steve. Yeah. That is a complicated matter because it is not like we have that many options. So we have bought some aircraft off lease, we are staying with some 700s we were expecting to return, and we have even bought spare engines ahead of time. We are very, very proactive in securing parts in the marketplace even though we have contracts with OEMs that are supposed to cover us. So we have gone, like, beyond the call of duty to make sure that we have the stock. And we are even doing maintenance work, even for engines, that program work where we had to send the engines to the MROs in the past, and we are doing that with the support of GE. We are doing that in our maintenance base in Panama, also to speed up turnaround times and have more engines in stock. So we are doing a, I would say, gigantic effort versus, you know, the easier times before, and we have been able to manage. We have not affected our operations for lack of parts or lack of engines and aircraft.
Jose Montero: And I would say that the moves that Pedro just alluded to, like the buying of leases and deciding to maintain the two 737-700s, etcetera, just are a testament of the flexibility that we have in our fleet plan as well. So we continue executing on the flexibility that we have in our fleet plan.
Stephen Trent: Really appreciate that, gentlemen. And, Jose, I am not sure if this is your last results call, but if it is, really deeply appreciate, you know, and I will miss all the interactions.
Jose Montero: Oh, thank you very much, Stephen. You have brought a tear to my eye. Thank you. Thanks a lot, and thank you for the partnership.
Operator: Thank you. And our next question comes from the line of Jen Spies from Morgan Stanley. Your question, please.
Jen Spies: Yes. Hello. Thank you. I just want to ask, on the Venezuela situation. You already mentioned about the impact for the full year. I just wanted to clarify, was it solely concentrated on the third quarter, or is part of the impact also going to be seen in the fourth quarter of this year? And maybe also on capital allocation, how are you thinking about it going forward? I mean, you have an extremely solid balance sheet, maybe lower CapEx due to the delay. So are you contemplating some buybacks seeing where the share price is currently trading at? Any thoughts on that would be very useful? Thank you.
Pedro Heilbron: I will answer the first question and let Jose take the more difficult second question. As always, yes, there will be an impact on Venezuela in the fourth quarter, which will be slightly above half of what was the impact in the third quarter. And that is because we have had time to redeploy some of the aircraft and generate new bookings in other markets. So that is the difference. But it will still be a little bit over half of the 0.9 impact we saw in the third quarter.
Jose Montero: Yeah. Jen, in terms of capital allocation, the first thing that we have to say is that we have a very generous dividend policy, 40% of prior year's adjusted net income, which has a very strong dividend yield right now. So that is something that is important and a focus for our company. We do have a buyback program, a $200 million approved buyback program, which we have executed about a quarter of it so far. But in terms of capital allocation, I would say that over the next year and a half to two years, it is going to be the majority of the bulk, let us say, of the order that we have with Boeing in terms of aircraft. So that is three for 2025, our expectation is that CapEx in total is going to be approaching $900 million. That cash CapEx is going to be about $350 million. So there are going to be some CapEx requirements during the year 2025 that we are sort of preparing for, let us say, right now.
Jen Spies: Okay. Perfect. Thank you.
Operator: Thank you. And our next question comes from the line of Alberto Valerio from UBS. Your question, please.
Alberto Valerio: Hi, gentlemen. Thank you for taking my question. My first question is about the forward guidance, pretty much guidance through 2025. Should we take the current oil curve for jet fuel curve and set you? So for next year, we will be reaching something close to 23% margins. My question is, would that margin be recurring and should we look for the future? Something that changed from the past. And my second one is about Argentina. You guys had a big presence in the country in the past. Are you looking to going back there after this change that we have seen and making in the economy?
Pedro Heilbron: Thank you. So I will start with the second one, Argentina. Not sure if I got the full question, but Argentina remains a strong market for us. And we have good coverage. We fly to about five cities, and we have a number of daily frequencies to Buenos Aires. And we, again, as I mentioned at the beginning, we try to deploy the capacity that makes sense for us. And we think that is what we have in Argentina. We are very Argentina in spite of any other issues that they might be going through. So that is working well, that market. In terms of the first question, I will let Jose back me up. We are not issuing guidance for 2025, but I will just say that we have shown in the past that we can consistently deliver industry-leading margins or at least leading margins in our part of the world. And we are confident that we have the structure in place to continue delivering those results.
Jose Montero: Yeah. And the other aspect is that we are with our lowest or our lower unit cost base right now that we have been able to achieve over the last several years. You know, we are simply able to deliver, you know, leading results and not be as dependent on the fluctuations and, you know, the market dynamics. So, you know, we are just simply fundamentally more efficient and able to sustain very, very good margins with our low-cost base.
Alberto Valerio: Thank you.
Operator: And our next question comes from the line of Rogerio Araujo from Bank of America. Your question, please.
Rogerio Araujo: Hello, Pedro, Jose. Thanks for the opportunity. I have one follow-up on yields. If I may, first one, a confirmation. Is the guidance implying a full year of restrictions in flights to Venezuela? And any expectations of operations resuming there? And the second part of the question is regarding the year-over-year comparison of yields. So all else being constant, if you could help us to think a little bit about how the comparable basis is in the first half of 2024 and the second half. So we had currencies devaluating in the region. And we also had Venezuela stop operations at the end of July. So any other item that we should take into consideration and what is the expectation for this comparison basis of yields in 2024? Thank you.
Jose Montero: Yeah. So the guidance that we have issued for full year 2024 includes the Venezuela impact for the moment or for the period that we have been affected, which is effective the end of July of this year. So that is what is embedded in there. Remember that a portion of that capacity was not deployed immediately. So therefore, it had an impact and also the flow of the passengers on this. And, you know, in terms of 2025, bringing forward the 2025 guidance where we issued any revenue guidance for the year. It is a preliminary capacity guidance and ex-fuel guidance. So with the capacity guidance assumes that Venezuela returns or that the flights or the aircraft will capacity are deployed to other destinations within the network. So from the standpoint of capacity and deployment, there is, let us say, it is embedded and regardless of what occurs with the aircraft, it would be embedded within that capacity.
Jose Montero: And in terms of yields for the full year, I would say that the full year 2024, returning back to 2024, yields in the second half of the year have also been affected by the currency fluctuations that you described, specifically in Brazil. Actually, highlight Brazil because there was a drop in the real during the latter part of the second quarter that influenced the sales and the revenues in the third quarter. And that is also aside, as discussed earlier in one of the earlier questions, part of the reason why we adjusted from 11.5 cents to 11.4 cents in the fourth quarter is also related to Brazil. They continue to be resilient.
Rogerio Araujo: Okay. Perfect. And if I may, a follow-up on Venezuela. Is there any kind of upside if operations resume there in terms of yield strength?
Pedro Heilbron: It is hard to know. It is an unpredictable situation. I am confident that we will restart flights. We were flying to five cities over forty flights per week. We will restart at some point, maybe not this year. Hard to predict. I would guess that at some point in 2025, saying if it is in the first quarter or the second quarter, it is hard to tell right now.
Rogerio Araujo: Okay. Thank you very much.
Operator: Thank you. And our next question comes from the line of Daniel McKenzie from Seaport Global. Your question, please.
Daniel McKenzie: Oh, hi. Thanks, guys. A couple of questions here. Following up or circling back on the CapEx that jumps to $900 million in 2025. So for those investors that are investing a little longer term, how do we think about the drop down in 2026 and 2027? And then just related to that, I am just wondering if there is an appetite to add more aircraft to Wingo.
Jose Montero: So in 2026, I would say it is similar. It is similar in size, and, of course, this is all depending on what the delivery stream is from Boeing to us because essentially, all the CapEx is aircraft. So I would say, but I would say preliminarily that in 2026, it will be very similar to a 2025 CapEx. And then 2027, probably a tad higher. I mean, it depends on ultimately on what the delivery stream is. I would say for preliminary modeling perspective for 2026 and 2027, you could probably model it at a similar level.
Pedro Heilbron: Yep. In terms of Wingo, as we get more deliveries next year, we will give Wingo at least one or one 800 next year. It is in our fleet plan that we have published, if I am not mistaken. And they could probably use a few more, but we are all tight right now. They will get at least one next year.
Daniel McKenzie: Yeah. Very good. So a question here. I am wondering if you can unpack 2025 growth. So, you know, premium seat growth versus mainline seat growth and just given the questions on FX earlier, I am wondering how that is shaping your thoughts about where you want to grow. So more US flying or, you know, perhaps, you know, more to smaller markets that are underserved. I am just trying to get a sense of how, you know, the macro backdrop is shaping how you are thinking about the business and growth.
Jose Montero: Yeah, Dan. A couple of things. I will give you some color on the breakdown of the growth. First of all, the majority of the growth for the year is going to be in full-year effect of service that we started during 2024. About two-thirds of the growth is going to be full-year effect. And then the remainder is probably going to be, I do not know, what the remainder is going to be or 25% of growth is going to be frequencies to markets that we already serve. And then a minor portion will be gauge. We are getting additional, well, actually, it is a full-year effect of the nines that we are getting towards the latter part of this year. Or, I am sorry, the year we got earlier in the year. So full-year effect of the last several MAX 9s, we have 32 nines that are basically in the remainder of the aircraft are just going to be. So that is basically that. There is also the fact that we are adding seats into our 800s and densifying. That is another component of the growth for next year. That will also help our CASM ex-fuel in 2025. So that is gauge. So new destination is going to be a minor portion of the growth. You know, just low single-digit of the growth is going to be new destinations. Now, in terms of where we put the growth, it is, you know, we have a lot of options and flexibility. But I would say, usually, you have to start from a premise that the hub needs balance. So you are always going to balance out north of Panama versus south of Panama. So you always want to balance into the group.
Pedro Heilbron: Yeah. And, of course, profitability or potential profitability has a heavy weight in our decisions.
Daniel McKenzie: Well, if I could squeeze one final one in here, and that is just, you know, given the growth, the capacity constraints at, you know, Tocumen Airport, how easy is it for other airlines to get access to gates? And, you know, do you have the gates that you need to execute on the growth?
Pedro Heilbron: Yeah. Tocumen is an open airport. It is not slot controlled. It is not gate controlled. And it does not, there is nothing about Tocumen that stops anyone from coming in. As we continue growing, the airport is already working on plans to expand its capacity, which will be needed in between two and three years from now. And there is a lot of low-hanging fruit that they will implement, take advantage of, to increase its capacity. So there are no, there are actually no restrictions. There might be some peak moments during the day where the airport may be tight in slots and gates, but that will be improved also.
Daniel McKenzie: Thanks for the time, you guys. Appreciate it.
Operator: Okay. Thank you. And our final question for today is a follow-up from the line of Savi Syth from Raymond James. Your question, please.
Savi Syth: Hey. Thanks for the follow-up. Just a quick two quick ones. First, just on the unit cost guide for 2025, that is impressive given, you know, that you are slowing growth. Sounds like Jose, you mentioned densification is helping, but, like, I think you are already expecting that. I am curious if you could talk about, like, what is helping you generate that good unit cost execution.
Jose Montero: Yeah. Well, first of all, yeah, we are facing, like everybody else, you know, there are inflationary pressures out there, you know, airport fees, or flights, aerospace costs, etcetera. Those are items that put pressure on our costs. Aside from densification of the 800s that will be an ongoing project throughout 2025. And just as a reminder, we are bringing the seat count on the 48 737-800s that Copa Airlines operates from an average of around 160 to 166 seats, so adding an additional row in addition to that. It is growth, first of all. You know, the growth helps in the overall growth in capacity that we are guiding to. There is still a tapering off of the sales and distribution efforts and initiatives that we are pursuing. So there is a little bit of that, and maintenance also has some opportunities that we are pursuing for next year that should allow us to keep, you know, mind you that we achieved our 5.8 cent CASM target a year early. But I think we are hopefully keeping it for next year as well.
Savi Syth: Appreciate that. And then maybe just a final question on, as you look to transition out, any update on the CFO search and any other kind of thoughts on the management makeup?
Pedro Heilbron: So you were, well, let me just simply say something a bit like my last question ever. So I thought for a second that I was going to get away with it. We were, like, doing high fives here, but of course, that was not going to happen.
Savi Syth: Sorry about that.
Pedro Heilbron: Okay, Savi. We are prepared. So well, and I will take actually, on another more questions, but I will take this opportunity to recognize Jose on his last earnings call. He has been with Copa over thirty years. He started in our operations control center, then was planning and alliances, then for over ten years, he has done a great job as CFO of the company with a ton of accomplishments, most during really challenging years where we were able always to keep our operating margins in double digits with the exception of, of course, like, the heart of the pandemic in 2020. But a lot of work goes into those results, a lot of initiatives, cost initiatives, financing initiatives, etcetera. So Jose has done an outstanding job, and he has now decided to retire. So he has earned the right, and we are actively searching for his replacement internally. We are not ready to announce anything yet, but we are actively working on that, and we also have contingency plans if we are not ready by January 1. So there is nothing really new to announce right now in that regard.
Jose Montero: No. Thank you for that. But the reality is that there is a team here. You know, it is not like it is not because of a particular person. So there is a team ongoing that does everything, you know? So I think that I think you have to have the confidence that, you know, no one is indispensable in this particular case. And I think we have a very strong team behind in the financial areas and overall in management that will go forward. So and that is actually part of the important things that I think about it all the time. Of course. So we are not dropping the ball at all.
Pedro Heilbron: If we did, it would not look good on Jose. So that is not going to happen. We are not going to drop the ball. We have a strong team. So that will not be a weak point. And then in terms of other management changes, we did bring in and we issued a press release. We created a new executive VP position. The person that is filling that position is already here. His name is Robert Carey. He comes from Wizz Air. He was a president at Wizz Air. Before that, he was a CCO at easyJet. Before that, he was with McKinsey for many years in the aviation sector, working a lot in Latin America. So I plan to share some of my workload with Robert. It will allow me to not have to concentrate on so many things every single minute of the day. So he will help me there. And I will be able to focus on many other things. So we are basically strengthening the company, strengthening the management team, to be even stronger overall going forward.
Savi Syth: And I can appreciate that the big shoes to fill instead of taking some time makes sense. I appreciate your time.
Jose Montero: Thank you so much.
Operator: Thank you. This does conclude the question and answer session. I would now like to hand the program back to Pedro for any further remarks.
Pedro Heilbron: Okay. Thank you, sir. So thank you all again. Thanks for participating in this call. Again, thanks to Jose for his great work at Copa. This is his last call. I know he is going to miss them. We know that. So maybe he will make a cameo in the next one. But seriously, thank you all, really. Thank you for your questions. Thank you for your participation and your support as always. We will keep on working really hard like we always do to continue delivering strong margins and industry-leading results under any circumstance. So thank you, and have a great day.
Operator: Ladies and gentlemen, thank you for your participation. That concludes the presentation. You may now disconnect, and have a wonderful day.